Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Adecoagro First Quarter 2012 Results Conference Call.
 Today with us, we have Mr. Mariano Bosch, CEO; Mr. Charlie Boero Hughes, CFO; and Mr. Hernan Walker, Investor Relations Manager; and the senior management team. We would like to inform you that this event is being recorded.
 [Operator Instructions] Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Adecoagro's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future.
 Investors should understand the general economic conditions, industry conditions and other operating factors could also affect the future results of Adecoagro and could cause results to differ materially from those expressed in such forward-looking statements.
 Now I'll turn the conference over to Mr. Mariano Bosch, CEO. Mr. Bosch, you may begin your conference. 
Mariano Bosch: Thank you for the introduction. Good morning, everyone. You are all welcome. As you know, our business in its nature is exposed to weather. And we have gone through tough weather conditions during this harvest season. We have measures, such as different timing for seeding our crops, diversification of products and geographies, and noted [ph] technology that contribute to mitigate these climatic risks that we are exposed to. During this present quarter, we are reflecting the drought during the end of February and March that affected the northwestern region of Argentina and thus, our corn and soybean productions. Also, we are reflecting the unusual low temperatures experienced in the period, affecting negatively our rice yields, which were not offset yet by an increase in price. 
 On the Sugar and Ethanol business, we have increased the planted area in line with our plan and started milling season -- and starting our milling season at Angelica and UMA with good conditions. The construction of Ivinhema is advancing very well. 
 And with this brief introduction, I will now ask Charlie Boero to walk us through the main highlights of Adecoagro's third quarter numbers. Charlie, please? 
Carlos Hughes: Thank you, Mariano. Good morning, and thank you for joining Adecoagro's earnings call for the first quarter of 2012. I would like to walk you through a few slides that reflect the main operation and financial highlights of the quarter. 
 As you may see on Page 2 of the presentation, the harvest of our crops is well advanced. As of the end of the first quarter, the harvest of wheat and sunflower were fully complete and rice was about to be completed. Yields for wheat were 21% below the previous year, mainly since last year weather conditions had been very good for wheat production. In the case of sunflower, yields were slightly below the previous crop season. In the case of the rice, harvested yields reached 5.6 tons per hectare, almost 11% lower than the previous harvest year. This yield reduction is a result of low temperatures during the growth season.
 We can see this in detail in -- if we move to Page 3. As you can see on the bottom chart of the page, between October and December, which is the critical growth period for rice, there were 62 days with average temperatures that were 2.6 degrees Celsius lower than the average historic temperatures. These lower temperatures have negatively impacted the crop development throughout Argentina. According to local market estimates, yields on a national level will be 10% to 15% lower than the last year as a result of these low temperatures. 
 Going back to Page 2, as you may see in the bottom of the page, the harvest of soybean first crop, soybean second crop and corn was in its initial stages as of March 31. As a result, harvested area yields are not representative of our expectations for the full year area. In the case of soybean, we expect final yields to be approximately 5% below the previous harvest year as a result of the drought experienced during November and December of 2011 in the Humid Pampas and the recent drought suffered in the northwest of Argentina in February and March. 
 In the case of soybean second crop, we expect final yields to be slightly lower than last year since the lack of moisture in the soil delayed the planting of the crop. Finally, in the case of corn, we expect average yields to be approximately 10% lower than the previous harvest year, but 20% below our initial estimates, also as a result of the drought in the Humid Pampas and the Northwest. 
 On the top left of Page 3, you may see a chart that analyzes the drought we experienced in the Argentine Humid Pampas, the country's corn belt region. The rains during November and December were significantly lower than the historic average. December rains are critical in this region since the corn planted in September and the growth plant flowering, a growth phase in which the plants' water requirements peak. Therefore, the dry weather caused some irreversible damage on early corn planted area. The drought also delayed the planting of our soybean second crop, which could not be planted at the proper time due to lack of moisture in the soil. This delay in planting is also expected to reduce yields due to the shortening of the crop's life cycle. 
 In addition, on the top right chart, you may see the drought experienced in the Northwest farms in Argentina during February and March. This lack of rains has mainly impacted our corn yields in the region and to a lesser extent, soybean. We believe that the diverse geographic locations of our farms and our product diversification, together with our sustainable production model focused on no till, have partially mitigated the negative impacts of the drought. The impact on corn production is a good example. Argentine corn production is expected to fall over 30% from initial production estimates of 29 million tons to current estimates of 19 million to 20 million tons, whereas the impact on our production is estimated at 20%. 
 Moving on to Slide 4. You may see the financial performance of the Farming business. Our sales have increased 27%, driven mainly by our growth in planted area and in production. Our total farming planted area has grown by 20.9% or 40,000 hectares. Our adjusted EBITDA has dropped 39% from $20.8 million into the first quarter of 2011 to $12.7 million in the first quarter of 2012. This is basically a result of the weather impact explained in the previous slide, which negatively affected our crops and rice business segments. In the case of rice, the financial performance was also impacted by lower selling prices year-over-year. Now let's move on the Sugar, Ethanol and Energy business on Slide 5. The first 3 months of the year are commonly known as the inter-harvest season. During these summer months, due to very favorable growth conditions, sugarcane plant growth is stimulated and less energy is stored in the form of sugar. As a result, mills suspend their crushing activities, while equipment undergoes maintenance in preparation for the upcoming harvest year.
 During the first quarter, mills also focus on renewal and expansion of their sugarcane plantations. During the first quarter of 2012, we planted a total of 6,470 hectares of sugarcane, more than double the area planted in the first quarter of 2011. Of this total area, 5,697 hectares consisted of new planted areas to supply sugarcane to the Ivinhema mill, which is expected to begin its crushing activities in 2013. Additionally, 773 hectares consisted of sugarcane replanting to replace old sugarcane with new high-yielding sugarcane and maintaining the productivity of our plantation. 
 The increase in planted area year-over-year was accomplished as a result of favorable weather, a larger agriculture structure and higher planting efficiencies. As of March 31, 2012, our sugarcane plantation consisted of 71,005 hectares, representing a 25% growth year-over-year. 
 In Page 6, we can see the financial performance of our Sugar, Ethanol and Energy business. As a result of the inter-harvest season, adjusted EBITDA in the first quarter only reflects the sale of sugar and ethanol inventories. The expenses incurred in the sugar maintenance and preparation for the next harvest season, hedging results and overhead expenses among others.
 Our sales have grown 5x from $8.9 million to $45.8 million as a result of higher inventory sales during the first quarter of 2012 to comply with the delivery of sugar and ethanol forward sales contracts. As a result, our operating profit has increased from $2.2 million in the first quarter of 2011 to $10.8 million in the first quarter of 2012. In addition, our gross margin profit has grown from negative 6.5% to positive 7.1% on account of lower unitary production costs and higher prices. 
 Our operating margins were negatively impacted by the mark-to-market of our sugar and ethanol derivative hedge position. As a result of the increase in sugar prices during the quarter, we are posting a $5.6 million unrealized loss in other operating income. 
 Overall, adjusted EBITDA in the first quarter of 2012 is negative $4.7 million, compared to a loss of $5.4 million in the first quarter of 2011.
 Page 7 shows the evolution of Adecoagro's consolidated financial performance during the last 5 years. Regardless of the low first quarter as a result of climatic issues, which we do not control, we expect our sales and adjusted EBITDA to continue growing this year and the upcoming years, driven by the transformation and acquisition of farmland, the construction of the Ivinhema mill, consolidating our cluster in Mato Grosso do Sul and the increase in operational efficiency in each business. 
 Finally, on Page 8, our net debt as of March 31, 2012, has increased to $124 million, driven by a $45 million increase in total debt and $48 million of less cash to finance our capital expenditures.
 Thank you very much for your time. We are now open to questions. 
Operator: [Operator Instructions] Our first question will come from Rodrigo Mugaburu with Morgan Stanley. 
Rodrigo Mugaburu: I have a couple of questions. The first one is, it seems like farmers in Argentina are going to reduce the planted area for corn and wheat for next year. Are you planning to -- some changes on your crop plan for 2012/'13 in light of that? And the second question is related to taxes on land. It's been on the news in Argentina there might be some reform there. Can give us an idea what could be the impact on Adeco if that happens? 
Mariano Bosch: Thank you for your questions. Number one, we are always -- the amount of soybean, the corn and wheat that we are planting. Number one is that we are always taking into account the sustainable production model. So we do have some flexibility to move, but in order to look these long-term view that we have for our soils, we cannot change 50% of the model. So we are going to do more soybean than corn, as an example, because we are having better margins. But on the long run, these margins will change if you are always doing soybean. That's why we are doing some changes in line with what the Argentina in general is doing, but you cannot do 100% of that. That is the answer of the first question. On the second question, there's actually some land in Argentina. We are estimating the exact impact if this is approved. Roughly, we are talking about $500,000 to $700,000, will depend on how this is really approved. 
Operator: Our next question comes from Giovana Araujo, Itaú BBA. 
Giovana Araujo: My first question is about soybean and corn yields. Can you give us an update about your expectations about yields for those crops for the amount that yet has to be harvested? So that will be my first question. 
Mariano Bosch: Is that for us or for Argentina in general? 
Giovana Araujo: For you, sorry. 
Mariano Bosch: Okay. We are thinking we haven't finished our harvest. We are in the middle, but we are estimating to have 10% below last year in corn and between 5% to 7% below last year in soybean. 
Giovana Araujo: Okay. And my first question, it's about the sugarcane crushing in Brazil and, of course, Adecoagro. What are prospects for your crushing this year? And how much crushing you potentially could add within Ivinhema next year? 
Mariano Bosch: Giovana, as you know, we don't give guidance. But what we've been saying is that we should have, in Angelica, between 85% to 90% of our crushing capacity, still planting additional cane. And for next year, in Ivinhema, we are planting and we are advancing pretty well in our planting, but we cannot give guidance on how much we are going to be milling in Ivinhema next year. 
Operator: [Operator Instructions] Your next question comes from Pedro Richards of Raymond James. 
Pedro Richards: My first question is related to the Land Transformation business. If you could share with us more details on this business line, perhaps how many hectares you're targeting to transform this year, how many new productive hectares you are planning to incorporate into the upcoming 2012/'13 harvest? And what should we expect to see over the next month in terms of farmland transactions for Adecoagro? 
Mariano Bosch: On regard to your question, the last part of your question, where -- what are we planning to do next month or next quarter, we haven't given a guidance because we don't give guidance there. But on the first part, we still have 18,000 hectares to be transformed as we've been talking about. And we expect this year to put into production around 50% of that total amount of hectares. 
Pedro Richards: Okay. And I had follow-up questions regarding the rice crop. Charlie mentioned in Slide #4 a bit of that. I just wanted to understand which were the main drivers for the result, for the poor result in rice this quarter. I mean, there was an 11% decline in yield, but I think price were only 3% down. I don't know if there was like higher operating cost or just wanted to understand the result of rice over the first quarter of this year. 
Mariano Bosch: Okay. Number one is, the whole Argentina, Uruguay and South of Brazil production, the estimates are between 12% to 17% down in general because of climate. And that was relatively surprise for all this total production, and that was mainly explained by these low temperatures that Charlie was talking about. So those unusual low temperatures during November, December, beginning of January, affected this yield potential. So yields are the ones affecting, that is the higher impact on the total production, on the total margins. And in terms of prices, you see only 3% decline. But if you think on net prices, that is even lower because we've sold to new regions in containers where you get the same. 
Carlos Hughes: Final price. 
Mariano Bosch: Final price, but the net price is lower because you have an additional cost comparing containers against bulk. That's why prices are in some way lower than what is in the report. 
Operator: [Operator Instructions] Having no further question, this concludes the question-and-answer section. At this time, I'd like to turn the floor back to Mr. Bosch for any closing remarks. 
Mariano Bosch: Okay, thank you. Before concluding the call, I would like to make the following remarks. 
 In the Sugar and Ethanol business, we're just starting milling season and we will continue developing our unique plant in Mato Grosso do Sul and obtain maximum efficiencies at UMA and Angelica. In our Farming and Land Transformation business, we'll continue our transformation and development of new areas and while at the same time, seek for opportunities to capture the maximum return on investments.
 Having said this, we are aware of the current financial and economic crisis that the world is going through, which still needs to heal. And therefore, we have intensified all our efforts to increase our efficiencies, look deeply in our costs to confirm the challenges of these potential difficult scenarios.
 So finally, I would like to invite you again to participate on our IR program and look forward to seeing you during the year. Thank you very much for joining us today. 
Operator: Thank you. This does conclude today's presentation. You may disconnect your line at this time. And have a nice day.